Raoul-Tristan Van Strien: Good afternoon, everyone. Thank you for joining us to today's live webcast of our 2024 half year results. Your host will be Dolf van den Brink, our CEO; and Harold van den Broek, our CFO. Following the presentation, we will be happy to take your questions. The presentation includes forward-looking statements and expectations based on management's current views and involve known and unknown risks and uncertainties, and it is possible that the actual results may differ materially. For more information, please refer to the disclaimer on the first page of this presentation. I will now turn the call over to Dolf.
Dolf van den Brink : Okay. Thank you, Tristan. And before we start, welcome to the team. And I also wanted to personally say a big thank you to Federico, who is here with us in the room. After 7 years as IR Director, he will be moving to be our new Finance Director in the Netherlands, and I want to wish him a lot of success. Thanks, Federico. So welcome, everyone. We delivered a solid first half of the year, demonstrating progress on our multiyear transformation strategy, EverGreen. And before we delve into the results, let's start with a brief reminder of our strategy, which continues to shape our business. Our ambition is to deliver superior, balanced growth to consistently create long-term value. And we do this with a clear focus on our five strategic priorities embedded in the business, as indicated on the left. These priorities propel the flywheel of our growth algorithm. With at the top, first and foremost, growth, we are after superior, balanced growth, both volume and value growth. Growth enables gains in productivity and fuels resources for investing in future growth and to improve profitability. We delivered on this in the first half, and we will double down in the second half of the year by reinvesting significantly more of our case -- cost savings behind our brands. We are on track and working towards sustainably delivering the balance embodied in our Green Diamond. Growth, balanced between volume and value; continuous productivity; better capital efficiency; and realizing our ambitions on sustainability and responsibility. So let's take a closer look at the results highlights. We achieved a solid first half of the year. Net revenue grew 6% organically versus last year. Significantly, our growth was balanced and broad-based as net revenue per hectoliter (beia) grew by 4.3% while total beer volume was up by 2.1%. The momentum behind the Heineken brand accelerated to grow 9.2%. Operating profit (beia) grew by 12.5%, and the margin was 14%, up 60 basis points versus last year. Notable was the strong improvement in the Americas. Net profit improved by 4.4%, with the operating growth partially offset by higher financing and tax expenses. Diluted EPS ended at €2.15. Harold will cover this in more detail later. The delivery of our growth in the first half has been balanced, and moreover, the volume growth itself has been of high quality. Our premium beer brands grew 5%, more than double the rate of our total beer portfolio. The growth has been delivered by a wide range of premium brands and extensions across our regions, including Kingfisher Ultra in India, Birra Moretti in Europe, Dos Equis in Americas and Desperados in Nigeria and, of course, led by Heineken, which was up more than 9%. The growth was broad, with 27 markets in double digits, most notably in Brazil, China and Vietnam. Additionally, our non-alcoholic beer and cider portfolio grew close to 10%. I will expand on our leadership position in this segment later in the presentation. This high-quality volume growth led to 6% net revenue growth with positive price mix in all regions, particularly Africa & Middle East, and operating leverage led to a good revenue to profit conversion as the growth in operating profit was more than 2 times the growth in net revenue. Now let me take you through the performance in our regions. First, Africa & Middle East, where we achieved volume growth under challenging conditions and landed the pricing required to offset inflation and currency devaluations. Net revenue grew organically by 27%, with 1.5% beer volume growth and a strong price mix of 24%, mainly by pricing for inflation. Operating profit grew 21% as pricing, volume growth and continued productivity gains more than offset inflation and the impact of devaluations in our costs. In Nigeria, net revenue grew disproportionately with steep pricing to mitigate the impact of inflation and the naira devaluation. Despite difficult economic conditions, volume grew in the mid-teens, led by Goldberg, Life and our premium brand Desperados. We are reshaping the balance sheet of Nigerian Breweries to set it up for sustainable future growth, which Harold will explain later. In Ethiopia, revenue grew in the mid-teens as inflation-led pricing more than offset the volume decline. There is continued civil instability in key regions of the market. Consumer purchasing power remains under pressure from the effects of hyperinflation. Last night, the Ethiopian government announced the economic reform program, which we believe will be good for the country's long-term prospects. In South Africa, we achieved the first year milestone integrating the Distell acquisition, enabling a competitive multi-category business model to capture the growth. Our wine, distilled spirits, cider and ready-to-drink portfolio outperformed the market in the respective categories, led by the continued momentum behind Savanna and Bernini. We have more work to do in the beer segment and are excited about the prospects for the 65 cl returnable glass bottle for Heineken introduced in the first half. On to the Americas, which really stood out in the first half in its strong operating profit performance. Net revenue grew 4% and beer volume up 1 percentage point. Price mix grew by 4%, driven by pricing and premiumization. Operating profit (beia) grew 37%, driven by the top line and significant improvement in variable expenses, benefiting from nearshoring initiatives, lower transportation and commodity costs and favorable transactional currency effects. In Mexico, revenue increased organically by mid-single digits, driven by volume growth and revenue management initiatives. The volume growth was led by our core portfolio brands Dos Equis, our affordable premium position, and Indio, the mainstream segment. Heineken 0.0 grew volume by mid-single digits and remains the number one non-alcoholic brand in the market. In the U.S.A., sales to retailers outperformed the market. Heineken's brand power continues to improve, supported by Heineken Silver and Heineken 0.0, which reported its 19th consecutive quarter of growth. Dos Equis continues its positive momentum across the Sunbelt and is the number one brand in draft in Texas. In Brazil, revenue grew by high single digit and low single-digit volume growth, which was again of high quality. Our premium beer portfolio grew volume in the low-teens, driven by the continued strong momentum of Heineken, reinforcing our leadership position in the premium segment. Amstel grew in the low teens, further reinforcing its leading position in the pure malt mainstream segment. So moving on to APAC, where we returned to growth, led by India and with signs of market stabilization in Vietnam. Net revenue grew by 8%, beer volume by 7% and price mix, 1%. Operating profit (beia) increased by 7%. In Vietnam, we see signs of stabilization in the beer market, though the premium segment and the on-trades continued to be impacted disproportionally from the strict enforcement of Decree 100. The Heineken brand grew volumes in the 60s, led by Heineken Silver, which recorded its 11th consecutive quarter of growth. Brands Bia Viet, Bivina and our innovation Larue Smooth grew by double digits as we continue to strengthen the mainstream portfolio. In India, volume was up by high single digits as our momentum continues, and we remain optimistic about the future. The premium portfolio grew in the 30s, gaining share in the segment led by Kingfisher Ultra and Ultra Max. In China, Heineken continued its strong growth trajectory in the premium segment. Volume was up more than 25%, driven by the strong momentum of both Heineken Original and Heineken Silver, the latter growing close to 50%. Now on to Europe, where we are focusing on rebalancing our growth after a period of high inflation. We recognize that consumer sentiment remains muted. And we will continue to ensure our competitiveness, actively adapting and shaping our portfolio with our mainstream and premium propositions. Net revenue declined by 1%, partly due to lower intercompany exports, with price mix up 1%. Operating profit (beia) was stable organically as lower variable cost and productivity savings were fully reinvesting for growth and competitiveness. Beer volume grew 1%. We posted solid growth ahead of our plans up to May, which unfortunately was offset by adverse weather in June, which has carried over to the beginning of July. The weather especially impacted the volume declines in the on-trade and our related wholesale business. We gained market share in most of our markets, most notably in the UK, led by Birra Moretti, Beavertown and Cruzcampo, our authentic Spanish mainstream lager from Sevilla, which became the largest launch in the off-trades in more than a decade across beers, wines and spirits. Premium beer volume outperformed our broader portfolio led by Heineken, our next-generation brands such as Birra Moretti, Gallia, El Águila, Messina and Texels. The non-alcoholic beer and cider portfolio grew by high single digits, led by Heineken 0.0. Moving on to brand Heineken, leading our portfolio. The sustained momentum behind Heineken continues to pace. The innovations of Silver and 0.0 have been additive to growing the brand power and the volume of Heineken Original. In the last five years, we have grown volume by 50%. This continues into 2024 in the first six months, adding another 9 percentage points of growth, with 27 markets in the double digits, most notably in Brazil, China and Vietnam. Heineken 0.0 and Heineken Silver have been, once again, strong contributors, up 14% and 41%, respectively, in the first half of the year. I'm also especially proud that the Heineken brand continues to be admired for its creativity in both idea and execution. Heineken was recognized as the number one most creative brand in the alcoholic drinks category and the number two most creative brand across all categories at the prestigious Cannes Lions Festival of Creativity, taking home a record 22 awards. Let's zoom into 0.0 for a moment. We are the global leader in non-alcoholic beer, a category that delivers growth, profitability and moderation. Our share of nonalcoholic beer is 1.5 times our share in total beer, and we have captured half of the total global growth in non-alcoholic beer over the past five years. We have achieved this on the back of Heineken 0.0, the largest global brand in 0.0 revolutionizing the category. It's now available and admired in 115 markets and grew by double digits in 23 markets in the first half. Specifically, in the U.S., Heineken 0.0 has had 19 consecutive quarters of growth since its introduction. Moreover, we continue to introduce 0.0 variants of our key brands, amongst more recently Sol Zero in Brazil and El Águila Sin Filtrar 0.0 in Spain and broaden the range of Zywiec 0.0 flavors in Poland. Moving to our next strategic priority, digital. We aim to become the best connected and most relevant brewer for our customers. And the focus, first and foremost, is for the beer category and our portfolio to grow our customers' businesses. We are unlocking incremental value for our customers through our digital ecosystem, eazle, which expands our market coverage and enables better service. By the end of the first half of the year, we captured over €6 billion in gross merchandising value on our digital platforms. We now connect almost 650,000 active customers, accounting for close to two thirds of our customers in fragmented traditional channels globally. And of course, Brew a Better World, our strategy to deliver on our environmental, social and responsibility ambitions, where we are progressing across all three pillars. In our ambition to achieve net-zero carbon and Scope 1 and 2 by 2030, we continue to make progress and have further reduced our emissions in the first half of the year. For example, we opened a large-scale solar thermal plant in Valencia, Spain. On our journey towards healthy watersheds, we have further improved the water use efficiency in our breweries and now have over 32 water-balancing projects, most recently adding the production sites in Meoqui in Mexico and Gitega in Burundi. On the social pillar, we are on track to achieve our target of at least 30% women in senior management roles by 2025 and 40% by 2030, with good progress this year. On responsible consumption, as I indicated earlier, as category leaders, we continue to make progress to make sure that zero-alcohol options are always a choice and broadly available. Before I hand over to Harold for the financial highlights, I would like to recognize the efforts of our team at Heineken. We've had a solid start of the year returning to balance top and bottom line performance. EverGreen strategy has been and continues to be our compass, and I'm proud of the progress that we're making and how we're building the foundation for long-term value creation. And with that, over to you, Harold.
Harold Broek: Thank you, Dolf, and a good day to you all. I will take you through the main drivers of our first half financial results and our outlook for the full year 2024. Starting with our top line performance. We posted an organic growth of €900 million or 6%, reaching €14.8 billion net revenue (beia). We restored balanced volume and value growth despite experiencing economic volatility in certain markets. The underlying price mix on a constant geographic basis was up 4.9%, with pricing up 4.5% and all regions in the positive. It was most pronounced in Africa & Middle East as we price for inflation and currency devaluations. Overall, our pricing was broadly in line with the weighted average inflation of our markets. The mix component was positive 0.4% from premiumization. The consolidated volume on an organic basis was up 1.7%, and the growth came mainly from our largest operating companies in Nigeria, Vietnam, India, Mexico and Brazil. Growth in the second quarter was lower as Easter fell in the first quarter in 2024 compared to the second quarter in 2023. Competition intensified in the economy segment in Brazil, and we suffered from poor June weather in Europe. The translation of foreign currencies had a negative impact on €625 million or 4.3% for the first 6 months. Close to €600 million of this impact was due to the 48% devaluation of the Nigerian naira versus the euro. Using current spot rates applied to the results of last year, the negative effect of translation in the second half will be similar, with lower impact from African currencies and a higher impact from devaluation of the Mexican peso and the Brazilian real. Consolidation changes added €51 million, the net result of the Distell and Namibia Breweries acquisitions, the sale of Vrumona in the Netherlands and our exit from Russia. Moving on to the next slide. We delivered €2.1 billion operating profit (beia) for the first half year, representing an operating profit margin (beia) of 14%, up 60 basis points versus the comparable period last year. The €900 million of net -- organic net revenue growth on the previous page translated into €242 million operating profit organic growth for the first half. Pricing and strong gross savings delivery from productivity initiatives more than offset, in aggregate, modest inflationary pressures in our cost base and funded incremental marketing and selling expenses and digitization and sustainability investments. Our variable cost per hectoliter increased organically by low single digit, in line with our guidance, as lower commodity and energy costs in the Americas and Europe were more than offset by double-digit increase in Africa, Middle East, the latter driven by high local inflation and exchange rate devaluations in key markets such as Nigeria and Egypt. Marketing and sales investments as a percentage of revenue reached 9.9%, similar to last year, yet reflecting an organic increase of €55 million, mainly in the Americas and Africa & Middle East. We delivered more than €300 million of gross savings across variable and fixed expenses, and across regions, we are confident to achieve a €500 million target for 2024. Whilst all regions contributed to the growth in operating profit (beia), the main contributor was the Americas region, up 37% in the first half year. Next to top line growth leverage, this was driven by a significant improvement in variable expenses, benefiting from lower commodity costs and favorable transactional currency effects. An important contribution also came from structural productivity savings that delivered outstanding results, especially in Mexico and Brazil. For instance, we made major steps in nearshoring and local sourcing, collaborating with strategic suppliers. We no longer import 1 billion bottles for Brazil. And we're able to systematically lower our distribution cost and deliver fixed cost productivity. The Africa & Middle East region achieved the pricing needed to offset the impact from inflation and transactional currency effects. And volume leverage and productivity savings flow through to operating profit (beia) growth. In Asia Pacific, good performance from India and the top line recovery in Vietnam fueled the operating profit (beia) growth. Europe saw a slight organic increase as lower variable cost and productivity gains were fully reinvested behind growth and competitiveness. Consolidation changes had an impact of €40 million. The transactional currency effect was €62 million negative, mainly from the devaluation of the naira in Nigeria. Now let me cover other key financial data on slide number 17. Most are on a beia basis. I will also bridge between the net profit (beia) and the reported net profit. Started with our share of profits from associate and joint ventures that grew 10.1% (beia) led by a strong profit growth of our associate partner in Costa Rica and increased contributions from CCU and CRB. Net interest expenses increased organically by 28.2% to €284 million, in line with our expectations. The increase reflects a higher average net debt position and a higher average effective interest rates, mainly from local borrowings in Nigeria. Other net finance expenses increased to €180 million, mainly due to the non-cash revaluation of foreign currency payables, with the largest impact coming from the devaluation of the Nigerian naira. To be doubly sure, this is what we flagged in our full year 2023 results announcement. Net profit (beia) increased 4.4% organically to €1.2 billion. On a reported basis, we recorded a net loss for the half year, mainly impacted by the non-cash impairment of China Resources Beer as required by IFRS standards and driven by the decline in their share price as per the reporting date. The next slide will go into more detail. The effective tax rate (beia) was 28.8%, about 80 basis points higher than last year. Here, the profit mix played a role as well as the new tax law changes in Brazil. All in all, this resulted in an EPS (beia) increase of 5.9% to €2.15. In line with our dividend policy, interim dividend is set at 40% of the total dividend of the previous year, leading to an interim dividend of €0.69 per share, equal to last year. Finally, our net debt-to-EBITDA ratio came down to 2.4 times, in line with the company's long-term target of below 2.5 times. Let me move for a moment to come back to CRB, started with some business performance indicators. Between 2019 and 2023, CR Beer's turnover grew by 17%, and net profit 3 times as reported under the Hong Kong Financial Reporting Standards per calendar year. The strong operational performance was supported by the growth of the premium portfolio led by Heineken, up in volume during that 4-time -- 4-year period. Also CRB's contribution to Heineken's result is meaningful and increasingly so. Royalty income from CRB and CR Beer share of profits to Heineken for the first six months of 2024 represented more than 7% of the diluted EPS (beia), making it a top five contributor to our total net profit. However, the share price trajectory of CRB has deviated from the strong operational results. At the time of acquisition, the CR Beer share price was HKD35, and after a rally lasting until mid-2023, it declined to HKD26.25 as per the June 30, 2024, possibly reflecting concerns on the macroeconomic environment in China and its impact on consumer demand. As required by IFRS standards, we have recorded a noncash impairment of €874 million. This may reverse if the share price rises meaningfully. Let me now turn to free operating cash flow. We recorded a cash inflow for the first six months of the year of €655 million, a €1.1 billion increase from last year. The improvement came from -- a big part, from working capital improvement. You may recall that last year, our inventory and payables positions were affected by higher safety stocks on scarce materials and impacted by lower volume and other phasing effects. This year, we see those effects normalize. In addition, we are beginning to see results of specific interventions to further improve our working capital positions, for example, by using AI in our forecasting processes and by working with suppliers to bring our payment terms closer to industry standards. CapEx in the first six months was close to €1.2 billion, lower than last year by €212 million and representing 8.8% of net revenue (beia), in line with our guidance to be below 9%. Cash flow from operations before working capital changes was higher by €94 million, driven by the higher operating profit and a change of €52 million in provisions. Cash for interest, dividends and tax increased in aggregate by €60 million, mainly from lower income taxes paid. Let me now turn to the outlook for the rest of the year in the next slide. Our EverGreen strategy is a multiyear journey, and we are pleased with the solid progress in the first half of 2024. While several key emerging markets had to navigate a volatile macroeconomic environment, overall, we achieved a more balanced volume- and value-led revenue growth and good operating leverage. We also continue to deliver against our premiumization, digital and sustainability ambitions funded by gross savings and productivity gains. We continue to expect variable costs to increase organically by a low single digit on a per hectoliter basis. The benefit from lower commodity and energy prices compared to 2023 is more than offset by inflation and currency devaluations in Africa. We have clear line of sight on our cost savings initiatives and are, therefore, confident to achieve a circa €500 million ambition for 2024, ahead of our medium-term commitment of €400 million. We are increasingly reinvesting a larger proportion of these savings into marketing and sales, which we expect will grow significantly and materially ahead in the second half of the year compared to the same period last year. We will do this behind key brands and markets, obviously applying good financial discipline. Volatility remains a reality. Consumer confidence and economic sentiment in developed markets remain below their historic average. The Africa & Middle East region continues to experience challenging conditions. Looking ahead, there is a risk of material currency devaluation that occurred last night, as Dolf just referenced, and also hyperinflation in Nigeria and Egypt. We are confident that we are able to adapt, yet this continues to bring some short-term uncertainty. We update our full year outlook to grow operating profit (beia) organically in the range of 4% to 8%. The narrowing of the range reflects our confidence in delivery as we are pleased with the solid performance to date, which is why we removed the lower end of the range. At the same time, we have not seen the best of summers, and main sporting events did not get the uplift that we hoped for. And most importantly, we reiterate our commitment to materially invest behind the category and our brand portfolio growth, and this includes a step-up in half two versus last year. This is reflected in the adjustment at the upper end of the range. I want to highlight two more elements. A brief update on the rights issue by Nigerian Breweries. As Dolf has mentioned, we are actively managing the volatility we are facing in Africa to ensure operational resilience and sustainable profitable growth. In Nigeria, a country of close to 230 million people and one of our largest markets in volume terms, the steep devaluation of the naira, hard currency shortages and high interest rates led to significant pressure on the balance sheet and the net profit of Nigerian Breweries. The planned recapitalization is on track and will help alleviate these pressures. We aim to use the proceeds of the rights issue of around NGN600 billion to reduce the company's liabilities. We expect the transition to complete this year, and Heineken will take up its right in full in recapitalization. You will have noted from our results highlights that the team on the ground is doing an amazing job, giving us confidence in the long-term potential of Nigeria and our ability to build a sustainable future for the business. Second, a comment on the revised outlook for the items between operating profit and net profit. Our effective interest rate is expected to remain unchanged. If current conditions prevail, we expect more stable other net finance expenses in the second half of the year as we made progress in reducing hard currency exposures and are on track with the rights issue in Nigeria, as I just mentioned. And last, we have updated our view on the average effective tax rate (beia) and now expect this to land at around 28%, an improvement relative to the previous guidance of 29%, including further insights into Brazil's 2024 tax changes. As a result, we revised the expected organic net profit (beia) growth to be more closely in line with the expected operating profit (beia) growth. Before the Q&A, to summarize. We had a solid performance in the first half of the year as we restored our balanced volume and value-based growth and delivered operating leverage. We are confident in our cost projections and have clear visibility and increased confidence on our expected gross savings for the year. We will materially increase our marketing and sales investment in the second half of the year, and for this reason, we have revised our guidance to 4% to 8% operating profit (beia) growth. Over the medium term, we continue to aim to deliver superior balanced growth with operating leverage over time. With that, I would like to open for Q&A.
Raoul-Tristan Van Strien : Laura, we're now ready for Q&A.
Operator: [Operator Instructions] Our first question comes from Edward Mundy from Jefferies. Edward, please go ahead.
Edward Mundy : Afternoon, Dolf and Tristan. So my first question is really around the guidance range. You've obviously narrowed it from low to high, to 4% to 8% for the year. Could you perhaps talk about what's the bottom end? What are the assumptions around the bottom end of the guidance? What are the assumptions around the top end of the guidance? And then my follow-up question is really around this theme of reinvestment in the second half. Dolf, you appointed a new Chief Commercial Officer last year, Bram Westenbrink. I think the solid H1 gives you more confidence to invest. Could you perhaps talk about some of the things that you're going to be doing differently since Bram joined the ExCom? Is the focus more on volumes, on price mix? What are you doing differently to help give you that superior top line growth that Heineken should be able to deliver?
Dolf van den Brink: Very good. Thanks, Ed. Let me take the second part of your question, and then Harold can speak to your question on the outlook. Maybe good to start by emphasizing that we are pleased to see the normalization of our top line in the first half. We have first had the disruption of COVID, particularly affecting markets with a high dependency on on-premise. Then we had a disruption more recently by the disproportionate pricing to adapt for input cost inflation that brought volatility to our volumes. And the number one priority this year was to normalize our top line and rebalance it between volume and revenue per hectoliter. And we're pleased at the half year mark to see that normalization starting to take place with good volume growth, 2.1%, 4% plus revenue per hectoliter, positive in all regions. This also really gives us confidence in the future of the category. We really believe beer is a healthy category with sustainable growth prospects for the future, in particular, given our more favored footprint with our exposure to higher-growth emerging markets. We already -- back in '22, we did a very major increase in 8 cl BTL. Last year, we had to pause somewhat as we were adjusting to the reality of the moment. And for this year, we really intend to increase and to continue to increase our investment behind our brands and the category. We hold the fundamental belief that the brand power of today is your pricing power for tomorrow. So it's important to keep leaning into those investment levels. And this will affect primarily the second half of the year as we see the need and opportunity to increase the percentage of revenue of investment levels. And it's important that we really aim to be disciplined that this is really about supporting brand power and pricing power in developed markets. This is really about investing our biggest growth prospects for the future, whether it's India or Brazil, Mexico, South Africa. So we are quite specific in where that investments will be deployed. But again, we are happy to see the normalization of our top line with much better balance. We are confident in continuing on setting ourselves up for sustainable balanced growth going forward, and we feel we need to put our money where our mouth is by step-up in investment. So that is a kind of first kickoff on that question, probably more on that later. Let me hand over to Harold on your question on the outlook.
Harold Broek : Ed, I think let's start with the bottom end of that range. Important to note that due to the solid results that we've seen in the first half of the year and the fact that we've been able to manage volatility in Africa reasonably well, we decided it was best to remove the bottom end of the range and really move to that 4%. So that is an important point to make. But secondly, I think in the outlook statement, you will have also seen that uncertainty is still a factor for us to consider. Only last night did Ethiopia devalue its currency. And yes, whilst this is good for the long term, it still may cause a few disruptions for the short term, including, for example, further foreign exchange devaluations that is now very likely to happen, although we don't know what precisely that is. All of these things, including hyperinflation in, for example, Egypt and Nigeria, which we also called out, make us realize that we really want to be quite firm on the investment that we put back on to the business. And as a result of that, we will not sacrifice that investment for the sake of the long-term health of this organization. And that's why these macro factors might actually lead to the bottom end of the range. Perhaps they will not all happen all at the same time in the back half of this year. At the top end, this is important, we have assumed a normal summer weather. But what has also been clear to us that in the June and the early parts of July, this is not a given any longer. So a normalized summer is at the top end of the range. There is an increased step-up in investment happening in the second half of the year. And we believe that this will be good for our business and our growth momentum over time but not necessarily immediate in the second half of the year. And that was the reason why we wanted to reduce the top end of the previous range also because we're very confident and determined to keep our investment as we believe is necessary for the category to resume its growth.
Edward Mundy : Thank you.
Operator: Thank you. Our next question comes from Mitch Collett from Deutsche Bank. Please go ahead.
Raoul-Tristan Van Strien: Mitch, are you there? I guess we go to the next.
Operator: Okay. So our next question comes from Olivier Nicolai from Goldman Sachs. Olivier, please go ahead.
Olivier Nicolai : Hi, good morning Dolf, Harold and Tristan. Just a couple of questions on Europe, if I may. You flagged an increase in promotional activity in Europe. Was it mostly linked to the Euro Cup? Or was it in response to the poor weather in June? And do you see this promotional activity continuing as well into Q3? And then secondly, on Europe, your margin was flat in H1. Is there any structural reason, thinking more in the long term, why your margin cannot go back to its previous peak margin in Europe, which was reached before COVID? Thank you.
Dolf van den Brink: Yeah. Thank you. Let me start, and then Harold, feel free to complement. Again, we are glad and happy to see after a tough volume result of last year in Europe. We are very happy to see that at the half year mark, volumes are up, beer volume, up plus 1%. Year-to-date May, we were actually up significantly more. So indeed, June had a disproportionate impact. We were actually counting, as Harold was saying, on some positive upside in June, July that unfortunately didn't manifest itself. Revenue per hectoliter, also still up at the half year mark, plus 0.7%. Towards the end of the second quarter, you saw indeed more promotional pressure, but that was also, we think, related to all the sports activity. And either way, going into summer, that's a normal pattern. Even though we are somewhat disappointed about, yeah, the start of the summer, assuming normal weather for the remainder of the summer and the rest of the year, we continue to aim for a positive volume effect in the year with modest pricing. Again, it's all about normalizing and rebalancing our outlook and, in the meantime, really making the necessary investments to strengthen brand power to protect your pricing power, which is something that is especially important in Europe given the retail landscape. Underlying, when you look to the quality of the volume, we are happy to see, also in Europe, premium volumes consistently outpacing our mainstream volumes. Brand Heineken doing well. Desperado is doing well. So those are the things that we will keep emphasizing in the second half of the year. Let me ask Harold to comment on the margin question.
Harold Broek: Maybe just a final thing to say on Europe growth is that about two thirds of the markets actually gained or held share. And I think that is also an important context for us because, of course, last year, there was double-digit pricing, and it did have a knock-on impact on consumer offtake. And we believe it's important to bring that balance back and, therefore, are also investing indeed in promotional activity, but the investment is actually more important to build the right brand portfolio and support that with marketing and selling expenses. So that's, let's call it, the trajectory that we have in front of us. In terms of the flat operating margin, I tell you that by the end of May, year-to-date, that reality looked very different. And the impact of an important summer month like June on country and channel mix because it was Northwest Europe, which was very different. And of course, the on-trade was more affected by poor summer weather than the off-trade, and you do know that there is a significant profitability difference between the two. Needless to say that also our investment in June was relatively high because this is the summer month. And as we know, there were major sporting events that we liked to have had a more visible impact on our results. So the combination of those two really made that flat operating margin for the first half of they year. It's not what we aspired for. It is definitely what we got. Underlying, we don't believe that there is structural, an issue with our profitability in Europe. We do see that the savings momentum has continued. We also expect that to continue in the second half of the year. And with an increase in portfolio mix that Dolf just referenced more towards premium and mainstream, important to note that the economy brands and own-label brands are not growing in Europe. We believe that with the right investments, we will get the portfolio to grow and savings to continue, we will see operating margins expand.
Olivier Nicolai : Very clear. Thank you.
Operator: Thank you. Our next question comes from Sanjeet Aujla from UBS. Sanjeet, please go ahead.
Sanjeet Aujla : Yeah. Hi, Dolf, Tristan. Two from me, please. Firstly, can you just talk a little bit about the scale of the marketing increase you're putting through in the second half of the year? The percentage of revenue, marketing spend is still quite a bit below pre-pandemic levels. Is that a level at which you aspire to going into the second half of the year? And my second question is just really on a couple of -- the competitive landscape in a couple of the big emerging markets, Brazil and South Africa in particular. It feels like there's been a bit of a deterioration in the competitive landscape at the low end of the portfolio in Brazil. I'd love to get your thoughts on that and how that's progressing. And also in South Africa, it's been a year since the Distell acquisition. I'd love to get your assessment on how, particularly in the beer portfolio, things are progressing versus expectations. Thank you.
Dolf van den Brink: Very good. Thanks, Sanjeet. Let me answer the competitiveness question, and maybe you can take the marketing investment, Harold. On the competitive situation, when we look to Brazil, we see continued momentum in premium, which is of the utmost importance to our portfolio, of course, as we are highly skewed that way. We continue to see double-digit increases both in the first quarter and the second quarter in our premium portfolio with brand Heineken. That is incredibly important. And yeah, we're proud to be able to deliver that. The mainstream segment has been impacted by the price. Yeah, the price war in the economy brands initiated by a local competitor. We are quite balanced in that we don't want to engage in that segment of the market. And as such, we have accepted double-digit volume increase in our economy brand volume. Important is that brand Amstel continues to grow up around low teens at the half year mark. Amstel and Heineken and some of the secondary premium brands are our priority. And across the first half, we have realized a very significant increase in our profitability. So we're actually -- yes, we are aware that there's stuff happening in the low end in the economy, but we are very determined on our strategy, focusing on mainstream and premium with Amstel and Heineken as the lead brand. And we really, yeah, believe that continues also at the half year mark to deliver results that we require. South Africa, indeed more challenging. We are now at one-year milestone of the acquisition, a very complex, almost -- yes, in fact, a backward integration. The former Distell categories are actually performing very well. Very solid growth coming from the cider and SAB portfolio, with brands like Savanna and Bernini growing in the double digits; continued positive momentum on the wine portfolio, growing volume and share; also share gains in the spirit portfolio. In beer, we know there's more to do. It's good to see momentum starting slowly but surely to come back on brand Heineken. We have launched, in the second quarter, the returnable bottle, which is something we were never able to do stand-alone, now glad that we're starting to roll that out. It will take a couple more months to fully stabilize, but that will have a major effect on gross margins going forward. So pleased with the progress on integration, pleased with the share performance on the Distell categories, not yet pleased on the momentum of our beer portfolio, and that is the top priority for the team on the ground. Maybe one other reason -- addition to the portfolio, India, a very important market for us right now and going forward, seeing high single digit in the first half. Kingfisher, the absolute market leader with very positive momentum. Our premium brands growing in the 30%, so we're really happy to see with our momentum in that market. So you see balance across the footprint. In some places, more work to do than in others. But in the aggregate, we are quite happy and quite clear on the things that we should address. Thanks, Sanjeet. Over to Harold.
Harold Broek: So on the point on the marketing percentage in the second half of the year, I think if we compare that, the reality of the second half of last year versus what our expectation is now to this year, it is very different. So last year, we were actually operating with -- in an environment where high pricing led to actually a decline in volumes. And we had to, of course, correct our investment because it was clear that the consumer was more worried about pricing and inflation than it was about brand power. In the first half of the year, we're growing volumes, and we're actually seeing a level of normalization happening in markets. And Brazil is in growth. Mexico beer market is in growth. Vietnam is stabilizing. Europe is stabilizing, and this is there for the moment to also consciously and materially step up our investments to really drive that category growth back as well as invest behind the power of our brands. We are also extremely pleased that premiumization and, where relevant, also upper mainstream continues to be the segments of the market because those are the segments that we have a disproportionate strength in. And therefore, that material step-up will actually fuel that growth, hopefully as well. So what we're really ambitioning is that after a period of volatility, we bring stability in our investments for consistent -- yeah, quarter-on-quarter volume and also value growth. So indeed, the return in the second half of the year of marketing expenses will not go fully back to 11%. I think that will be too big of a step in one go. And as Dolf said, we want to do this with discipline and with the right intent behind it, but you will see a material and significant step-up.
Sanjeet Aujla: Thank you. Can I just squeeze in a quick follow-up on the other net finance cost outlook? I think you said stable. Do you mean stable versus the first half or versus the second half of last year?
Harold Broek: Yeah. So I got myself a little bit in a twist when I tried to explain all the detail in the full year results. So what we actually mean to say is that the net profit because of these three factors, interest, tax and all the net financing expenses, that the net profit growth is now closer to the operating profit growth. And therefore, what I meant with the word stable is that we've got less volatility to manage now because the refinancing in Nigeria is firmly on track. Frankly, what currencies do and how much is, for me, impossible to predict. I think we will be pleased that there is just less volatility out there now than what we had in the first half of the year. But let me leave it at that. And if you can just zoom in on the net profit growth versus operating profit growth, I think you got it right.
Sanjeet Aujla : Thank you.
Operator: Thank you. Our next question comes from Mitch Collett from Deutsche Bank. Please go ahead.
Mitch Collett : Hi, Dolf, hi Harold. Apologies on my sound issues earlier. I think I've understood that you increased your marketing spend in Europe based on your question response earlier, but it was broadly flat as a percentage of sales overall. So did you reduce it in one of the regions? And if so, can you help us understand where? And then for my follow-up, you mentioned that Vietnam was a drag on Asia Pacific margins in the first half. But clearly, you had very strong revenue recovery, which I would have thought would have given you some margin expansion for Vietnam. I appreciate it's a more challenging market than it was in the past. But can you talk through the drivers of that margin pressure? And do you think there's scope to recover some of what was lost in Asia Pacific via Vietnam? Thank you.
Dolf van den Brink: Yes. Let me start by responding on Vietnam, and then we take it from there. So good to spend a bit of time on Vietnam, given it's such an important market. One, we are happy to see that after the high single-digit market decline in the second half of last year, we see signs that the market is stabilizing. We are estimating that the market was down by low single digits in the first half of the year. The on-trade channel and with that the premium segment is really trailing that still, and that's affecting our portfolio. In the first half, we really benefited from cycling the destocking effect in the first half of last year. And that's why we were at a high single-digit volume growth in the first half. That will not persist because that favorability of the cycling, the destocking will disappear in the second half of the year. And then we will be really more exposed to the underlying dynamic of the market where, again, we still have some unfavorability on the mix. We are making a huge effort in balancing our portfolio. Historically, we have been over-reliant on premium. We know one of the top priorities is to continue to boost our mainstream portfolio, which we have been doing for the last four or five years, but there's still -- we are below fair share in that segment. With that, we are happy to see the double-digit volume increases in Bia Viet and in Bivina. In Larue, there's more work to do, but really encouraged by the momentum of the new innovation Larue Smooth. And in premium, we still have work to do on Tiger original, but we're happy to see with continued double-digit increases on Tiger Crystal as well also on brand Heineken, up over 60% in the year-to-date. So a lot happening on the portfolio and on rebalancing that portfolio from overreliance on premium, overreliance on Tiger to a more diversified portfolio. And as I think we have discussed on this call at the full year results, the historic margins won't come back. We're operating at 40% plus territory. We don't see that come back, but we do believe that in the high 20s, around 30% margin, we should be able to operate going forward. Right now, we are also really making sure that we are having the right marketing and selling expenses in Vietnam as we are rebuilding our momentum as we are adapting to the new reality and rebuilding momentum. Now what's important to note on the APAC results is that a high single-digit growth in India at this point still comes with significant lower margins. So there's also a big mix effect at a regional level. So in a way, the lower margin in Vietnam was already in our full year results of last year, and now that margin will continue to operate in that high-20s. The margin effect with India outgrowing the rest of the region will continue, and we just want to make sure that in the absolute, it really makes sense because we really believe in the long-term prospects of India. It's similar to what we have done in Brazil, where for a very long time, we were operating at very low margins but we were building the portfolio and the route-to-market strength to capture the value in the market. And we see that coming through now at pace and at scale in the Brazilian market. That's what we are setting ourselves up for in India, but knowing that like Brazil, that will take some years to fully materialize. So that's it for me. Harold, anything to add to that?
Harold Broek: Yeah, let me be brief on the marketing and selling. Where did it go up? And where did it go down? A bit like that, that mix of markets that Dolf was just talking about is also the case in APAC because India has now grown quite materially but also operates with lower marketing and selling expenses in that line than, for example, the Vietnam has. Secondly, we had some other of the APAC markets that really invested ahead of the curve in the first half of 2023 and that has now much more normalized. I think Indonesia, Vietnam -- sorry, Indonesia, Cambodia, for example. So these were small adjustments. I wouldn't want you to read too much into that. The main increase in the investment was really done in the Americas and certain of the African markets.
Mitch Collett : Thank you, both.
Operator: Thank you. Our next question comes from Andrea Pistacchi from Bank of America. Andrea, please go ahead.
Andrea Pistacchi : Yes, hi. Thank you. So two questions, please. First one is on the balance sheet, which is deleveraging quite fast, approaching probably 2 times net debt to EBITDA by the end of the year, maybe not quite there, but approaching. At the same time, the stock is trading on a rather low p compared to history. So how are you thinking about potential cash returns? Is there a level of the balance sheet that would make you comfortable to buy back? And the second question really is actually just a clarification, again, I'm sorry, on marketing, on the reinvestment. You're saying, I mean, very clearly that you want to step up marketing reinvestment in the second half. Is the reinvestment you're planning for H2 higher than what you were planning six months ago at the beginning of this year? And if so, what has driven this change? And is the reason -- is this potentially the reason why you're capping your -- the upper end of the guidance at 8% organic EBIT rather than high single digits? Thank you.
Harold Broek: So yes, we're pleased with our cash flow performance and the fact that we are deleveraging. As you know, because we've repeatedly spoke about that is that this offers opportunities for us, but the opportunities also have a priority order. And we, first and foremost, always want to invest in the organic part of our business. Dividend policy, we are very happy with and make sure that, that is intact. We also believe that the net debt-to-EBITDA ratio needs to be maintained. We want to expand into organic growth. For example, we're putting more CapEx and new breweries in. And at the moment, also important to invest behind sustainability and digital initiatives. That comes with a higher CapEx line. And only when we run out of other options will we, of course, first and foremost, look at inorganic opportunities to bolster our footprint and only thereafter are we going to consider things like buyback. And that's also the priority order that we gave when we did the FEMSA transaction. I don't think that our strategy in that has changed at all. So we will see, but we are keeping an eye open on what the opportunities are. Perhaps for the marketing step-up, I'll hand over to Dolf.
Dolf van den Brink: Yeah. Let me start by zooming out before I zoom in. We started the year with a broad outlook, low single digit to high single digit. Also having learned from the volatility that hit us last year, we really wanted to make sure that we were conservative in our outlook. At the half year mark, in both sides, we are more confident because we see more -- we have more visibility with a very strong and solid delivery in the first half. Navigating the volatility in Africa is going according to plan, and we start seeing there less downside than we otherwise would have thought at the beginning of the year, and it gives us the confidence to remove that lower mark. That's an expression of both visibility and increased confidence. The step-up in marketing in the second half was always in our plans. So that is not new. And again, it has a lot to do that at the beginning of the first half of last year, we were investing in full, and we had to pull that back in the second half of last year as we were confronted by a material deceleration in our volume. In the first half of this year, we have been investing in full both as a percentage of revenue with a €50 million, €60 million increase in absolute, and we want to normalize that in the second half. And just doing the math, that is leading to a very material increase in absolute spend. And again, we are very disciplined and clear where that needs to go. This was always in our plan. The reason why we're somewhat narrowing our range at the top end is that some of the upside that we had hoped for in Europe, we have not seen materializing. I don't want to reiterate that. And we want to -- in the end, we want to strike the right balance between delivering decent solid results in this year and setting ourselves up for strong results in the year to come. And we don't want to find ourselves in a situation we're going into the fourth quarter, we have to cut marketing and selling because we are starting to get squeezed on the outlook that we have given. And as such, the priority is really that balance, good solid results in that 4% to 8% range and, at the same time, doing the investment, normalizing our investment levels, balancing between the first half and the second half, correcting for what happened last year so that we set ourselves up for good results next year and beyond. Thanks, Andrea, final question, I believe.
Operator: Yes. Our final question comes from Trevor Stirling from Bernstein. Trevor, please go ahead.
Trevor Stirling : Hi, Dolf, Harold and Tristan. Returning to A&P, Dolf, a slightly different angle. How do you measure the impact of A&P? And I think Harold said it was unlikely to be coming through, the effect -- impact that it was unlikely to come through in the second half. But is this a mixture of shorter-term promotion that you would expect to show up towards the end of the half and long-term brand equity? What sort of mix of investments do you have going in as well?
Dolf van den Brink: Yeah. Thanks, Trevor. Of course, that's the $1 million question. What is interesting that in this time and era that we are living, we start having much more sophisticated marketing mix models, where we start a scenario playing our investments and the return on investment in ways that were not possible in the past. It's still not complete exact science. It's always a mix between more long-term ATL, driving your brand power, driving awareness levels, driving differentiation to more -- bringing experiences, reactivating our brands close to the point of consumption, all the way to more promotional activities like activities around specific occasions as the Euro Cup or otherwise. The real kind of sales promotion or, let's say, anything that directly drives will sits more in our net revenue line give or take. But of course, in that marketing and selling buckets, it is a range between more long-term ATL to more short-term BTL. And again, with the marketing mix models that we are continuing to build that we'll continue to expand where AI is starting to become a more and more relevant lever, we do believe that this significant step-up, which still would leave us short of the historic 11%. So it's a big absolute step-up, but we're still kind of heading in the direction where we have been in the past. We believe that we can spend this money in both an effective and disciplined way, well targeted against the biggest opportunities.
Trevor Stirling : Thank you very much, Dolf.
Dolf van den Brink: Fantastic. I think with that, we've come to an end. Thanks, everybody, for dialing in today. I don't know about you, but the sun is shining in Amsterdam. We take it, and hopefully, it's the beginning of a nice long warm period in Europe. All of you here, I wish you a happy summer break and see you soon. Take care. Bye-bye.